Operator: Good morning or good afternoon all and welcome to the Vince Q4 2024 Earnings Conference Call. My name is Adam and I'll be your operator today. [Operator Instructions] I will now hand the floor to Chief Administrative Officer, Akiko Okuma to begin. So please go ahead when you're ready.
Akiko Okuma: Thank you and good morning, everyone. Welcome to Vince Holding Corp. fourth quarter and full year fiscal 2024 results conference call. Hosting the call today is Brendan Hoffman, Chief Executive Officer; and Yuji Okumura, Chief Financial Officer. Before we begin, let me remind you that certain statements made on this call may constitute forward-looking statements which are subject to risks and uncertainties that could cause actual results to differ from those that the company expects. Those risks and uncertainties are described in today's press release and in the company's SEC filings which are available on the company's website. Investors should not assume that statements made during the call will remain operative at a later time and the company undertakes no obligation to update any information discussed on the call. In addition, in today's discussion, the company is presenting its financial results in conformity with GAAP and on an adjusted basis. The adjusted results that the company presents today are non-GAAP measures. Discussions of those non-GAAP measures and information on reconciliations of them to their most comparable GAAP measures are included in today's press release and related schedules which are available in the Investors Section of the company's website at investors.vince.com. Now, I'll turn the call over to Brendan.
Brendan Hoffman: Thank you, Akiko and thank you, everyone, for joining us today. This marks my first earnings call since returning as CEO earlier this year and I cannot overstate how proud I am to be back with the Vince team. Having observed the business' evolution from a distance these past few years, I recognize not only the progress that has been made in strengthening the foundation of the organization, especially over the past year but also the strength of the leadership team in place and the consistency in the product delivered season after season. The core DNA of Vince remains intact. Our product continues to resonate with consumers seeking effortless sophistication and we've made significant strides in operational efficiency. While we are currently operating amidst a highly dynamic and evolving landscape, the work the team has done over the past year with its transformation plan and focusing on improving product costs and overall operating efficiencies better positions us to navigate today's environment. Before I provide more color on the current environment and how it's impacting Vince, let me review a few highlights on the business' fourth quarter performance. The period came in better than expected, driven by our wholesale segment which helped to offset the softness in our retail stores despite ongoing positive momentum with our full-price customer file which drove growth in our e-commerce channel. During the quarter, we continued to engage the full-price customer with double-digit growth in full-price customers in Q4 across our DTC channels. Additionally, retention efforts focused on our most valuable and highest spending customer tier proved effective with plus 9% growth in our highest customer spending tier for Q4. Across both men's and women's, we saw strength in our sweaters and bottoms assortments. Our funnel-neck sweater continues to be a key product for our women's sweater assortment and drove nice growth in the quarter. We also saw strength in our women's pant business as customers gravitated towards new fabrications and seasonal colors in our core bias pants. In men's, cashmere was also a top-performing fabrication within sweaters and we continue to be pleased with the success of our pant program. As we did with our bias pants for women, we introduced new sweated fabrication for our Dylan pant in men's and continue to see nice reception to the newness we are delivering with key silhouettes. Within wholesale, we continue to see strong momentum. Our relationships with key wholesale partners have never been stronger and I am amazed by the growth we are now delivering in this channel that just a few years ago appeared to have plateaued. In partners like Nordstrom's and Bloomingdale's, we have prime floor space to showcase our compelling assortments and provide opportunities for growth, including the expansion of our men's business. As the team has talked about in prior quarters, men's is an opportunity for the brand. What was once a key item business has now grown into a full collection today and we are proud to be a dual gender brand represented in all Nordstrom doors. While I hope to be sharing more on the growth opportunities we see ahead for the brand, our number 1 priority at the moment is navigating and managing through the evolving tariff policies and dynamic consumer landscape. In environments such as these, the strength of our relationships with our wholesale partners are critical. I am working closely with Jill Norton, our Chief Commercial Officer and we are talking with our partners regularly on how to best handle the current situation with tariffs and the uncertainty we are all grappling with around the potential impact they may have on consumer behavior. In our own direct-to-consumer channel, while e-commerce has remained positive, store sales performance has been inconsistent. However, we are pleased with the improved product margin performance across all our direct-to-consumer channels. We are closely monitoring potential changes in consumer behavior given the uncertainty with the current macro environment. As it relates to tariffs, as Yuji will discuss, while we have reduced our exposure to China over the past few years, as of the end of fiscal 2024, over 60% of our cost of goods sold was sourced from China. We are actively working on mitigation strategies. We are in the process of moving about 1/3 of our exposure for fall product outside of China. We are planning for further geographic diversification of our sourcing base. We are also evaluating strategic price increases and working closely with partners across our network to help to absorb the increased costs. In addition, we are taking a very measured approach in all expenditures across the organization in light of the current environment. Given the increased uncertainty and limited visibility to what the full impact of current policy and consumer behavior, we will not be providing full year guidance. As I mentioned at the start of my remarks, the organization is on a much stronger footing heading into this type of environment given the actions and changes that have been put in place over the past year. The transformation plan delivered over $10 million in savings in fiscal 2024 and the efforts from this plan will now shift to help manage tariff mitigation. To be clear, our entire organization continues to be focused on execution and delivering the product and experience our partners and customers expect from us. The transformation plan has fostered a culture in which everyone looks to do their part to effect change and deliver results and will be a key driver of the real-time changes we need to make to manage through the current situation. Before I wrap up, I'd like to acknowledge our team for their continued efforts in prioritizing and enhancing our relationships with our customers, vendors and wholesale partners. I also want to take a moment to express my appreciation for the depth of talent we have within our organization. I'm particularly pleased that Yuji has stepped into the role of CFO. Having been with the company since 2018 and most recently serving as our Controller, he brings tremendous institutional knowledge and financial acumen to this position. I have every confidence in his ability to navigate our current dynamic environment and to help drive our financial strategy forward. The seamless transition is a testament to the strong bench of leadership at Vince. The continuity and depth of the team is manifested in the high-quality product we deliver season after season. With our team solidified and with a more efficient operating model in place, while our strategic priorities are shifting to manage through the current situation, I have the utmost confidence that we will successfully navigate these near-term headwinds. I've always believed in the strength and potential for Vince. It's why I've led the company previously and it's what brought me back. I'm committed to leveraging my experience and passion for Vince to not only successfully navigate today's environment but to drive sustainable long-term growth. I'll now turn it over to Yuji to discuss our financial results and outlook in more detail.
Yuji Okumura: Thank you Brendan and good morning everyone. Fiscal 2024 was an important year for the company as we focused on executing a healthier full-price business, enabling us to strengthen our financial foundation reflected in the 100 basis point improvement in the adjusted operating margin on relatively flat sales performance compared to the prior year. As Brendan noted, while we are currently operating in a very dynamic environment, we believe through the work we have put in place and the actions we have taken with respect to our cost structure and product margin improvements better position us to navigate today's challenges. Before I discuss our views for fiscal 2025, let me review our fourth quarter results in more detail. As a reminder, the fourth quarter of fiscal 2023 included a 14th week, representing the 53rd week in the prior year which resulted in approximately $2.2 million in net sales and $0.4 million in loss from operations. The company net sales for the fourth quarter increased 6.2% to $80 million compared to $75.3 million in the fourth quarter of fiscal 2023. Excluding the impact from the extra week, total company net sales for the fourth quarter increased approximately 9% compared to the prior year. With respect to channel performance, we delivered a 26.7% increase in our Wholesale segment which more than offset an 8.1% decrease in our direct-to-consumer segment. Our wholesale performance overall exceeded our expectations for the period, driven in part by earlier shipments of our spring product to our wholesale partners. Our direct-to-consumer business performed relatively in line to our expectations as our store channel continued to be impacted by planned store activity, including closures, remodels and relocations, along with softer trends in traffic. Gross profit in the fourth quarter was $40.1 million or 50.1% of net sales. This compared to $34.2 million or 45.4% of net sales in the fourth quarter of last year. The increase in gross margin rate was driven by approximately 320 basis points related to lower promotional activity in our direct-to-consumer segment and our lower discounting as well as approximately 210 basis points related to lower product costing and freight costs. These factors were partially offset by approximately 120 basis points attributable to channel mix. Selling and general and administrative expenses in the quarter were $37.8 million or 47.2% of net sales as compared to $35.8 million or 47.6% of net sales for the fourth quarter of last year. The slight increase in SG&A dollars compared to the prior year period was largely driven by increased salaries and benefits and increased rent expense attributable to lease modifications made in prior comparative quarter. These factors were partially offset by decreases in consulting and information technology costs. During the quarter, we recorded a $32 million noncash goodwill impairment charge. The impairment charge was driven by the change in control of ownership through P180's acquisition of the majority of our common equity shares from Sun Capital in January. Including the impact of this charge, operating loss for the fourth quarter was $29.7 million compared to operating loss of $1.7 million in the same period last year. Excluding the noncash goodwill impairment charge and the transaction expenses associated with the P180 transaction, the adjusted operating income was $2.5 million. The improvement in adjusted operating income compared to the prior year was primarily driven by the gross margin expansion. Net interest expense for the quarter decreased to $1.6 million compared to $1.7 million in the prior year. The decrease was primarily driven by the paydown of the third lien facility which occurred in conjunction with the P180 transaction. Benefit for income taxes this quarter was $2 million which was driven by $3 million reversal of deferred tax liability previously created by the amortization of indefinite goodwill recognized for tax but not for book purposes. As the goodwill was fully impaired, the deferred tax liability created by the asset was also reversed. This was offset by the current federal and state tax expenses. The tax benefit in the fourth quarter of fiscal 2024 compares to an income tax expense of $1.9 million in the same period last year. Net loss for the fourth quarter was $28.3 million or loss per share of $2.24 compared to a net loss of $4.7 million or loss per share of $0.37 in the fourth quarter last year. The current period includes the previously mentioned goodwill impairment. Excluding the impairment charge and its associated tax impact and the P180 transaction expenses, we had net income for the quarter of $0.8 million or earnings per share of $0.06. Moving to the balance sheet. Net inventory was $59.1 million at the end of fourth quarter as compared to $58.8 million at the end of fourth quarter last year. Before I review our outlook for the first quarter, I wanted to follow up on Brendan's discussion regarding tariffs. As of the end of fiscal 2024, China represented 66% of our cost of goods sold and therefore, our current policies with respect to tariffs have significant impact on our business. We are actively reviewing all mitigation strategies, including diversifying our geographic exposure, working with our vendors for concessions, reviewing our pricing strategies and capturing other efficiencies. As Brendan noted, we have already begun to dramatically reduce our exposure to China, beginning with our fall products. Given the timing of the increased tariffs, we do not expect a material impact to our first quarter performance. However, as noted in our press release, given the uncertainty related to the potential impact and duration of the current tariff policies, we will not be providing full year guidance at this time. However, let me provide some color on our expectations for Q1. As a reminder, the first quarter is typically our smallest quarter of the year from a sales and profitability perspective and historically delivers an operating loss for the period. For the first quarter of fiscal 2025, we expect sales to decline approximately 5% compared to prior year, driven by the impact of timing of shifts of our wholesale shipment as well as impact from planned store activity in our retail channel, including multiple closures, remodels and relocations as well as pullback in promotional activity. With respect to profitability, we continue to be pleased with the traction we have seen in product margin performance and have continued to reduce our promotional activity through the first few months of the fiscal year. That said, we expect adjusted operating margin to decline approximately 500 basis points compared to the prior year period, largely driven by lower sales, increased marketing spend earlier in the quarter and other expenses primarily related to the timing of the store relocations and remodels. As discussed, given the increased uncertainty in our current landscape, we are being very disciplined with expenses going forward and believe the strategic initiatives and discipline we implemented throughout 2024 have positioned us well to execute effectively to respond to the current macro challenges. We're collaborating closely with our wholesale partners, assessing all available mitigation levers and leveraging our exceptional team to navigate this landscape. Our primary focus remains on delivering the quality products and experiences that have drawn customers to Vince. We will continue to operate with strategic agility, maintaining the flexibility to adapt quickly as market conditions evolve. This concludes our remarks and I will now turn it over to the operator to open the call for questions.
Operator: And the first question today comes from Eric Beder from SCC Research.
Eric Beder: Congratulations on coming back, Brendan.
Brendan Hoffman: Thank you, Eric.
Eric Beder: When you look at -- let's just take tariffs out a bit and look at the business for just a little bit. In terms of new products, new expansions [indiscernible] has that thought process changed? I know that you've expanded the accessories portion a little bit. Are we going to see more of that going forward? How should we think about the store count and the opportunity there?
Brendan Hoffman: You broke up a little bit. Were you saying taking tariffs out of it?
Eric Beder: Not -- so we've talked enough about tariffs but when we look at the business this year in terms of the potential to expand some of the categories further, that's been talked about by your predecessors. Is that still the case in terms of accessories and in terms of some of the other businesses? And how should we be thinking about longer term, the potential for store expansion, both in the U.S. and internationally?
Brendan Hoffman: Yes. So I'm very excited about the evolution of the categories. A lot of that credit goes to Authentic Brands Group because they are the ones pushing that but I think they pushed the envelope there a little bit to everyone's advantage. So I think it's created more diversity in terms of our offering and that's only going to continue. So I think we tried to do that when I was here the first time through some third-party product. And I think now being able to do it through the Vince label, whether we do it directly or through ABG and some licenses has really enhanced the brand. In terms of stores, store openings, I mean, again, we'll have to see what happens with tariffs. But momentarily taking that out of it, we were enthusiastic about the opportunity to expand in some new locations and markets here in the U.S., including we have one store planned for Sacramento and another one planned for Nashville. We have a second store opening up in London next month or later this month, I guess, now. So yes, so we'll have to see some of the decisions we now need to make around tariffs and see where that plays out. But very enthusiastic for what I've seen coming back 5 years later with the evolution of the brand.
Eric Beder: And just to kind of follow up a little bit on that. I know you've been changing the systems around to be able to focus more on some of the core customers. You mentioned some of those metrics for Q4. What is the opportunity there to better market to kind of that customer who can afford maybe a price increase or other pieces driven by tariffs going forward?
Brendan Hoffman: Yes. I think the team had really been focused last year on full price -- getting back to full price and our full-price customer which is going to benefit us, as I think you just suggested, given what is likely to happen with some strategic price increases. So very fortunate that, that work has already started and we'll just continue to support that and strategically make investments to go after that full-price customer, as you said, hopefully can absorb any of the price increases that come down the road. But for us, this is true 5 years ago, it's true now. Vince has always been about great value. And so we need to make sure that where we sit amongst our peers, we're still providing great value to our consumer base.
Operator: The next question comes from Michael Kupinski from NOBLE Financial.
Michael Kupinski: Just a quick -- a couple of quick questions. Can you quantify how much of the revenue shift in wholesale there was into the fourth quarter?
Yuji Okumura: Yes, sure. This is Yuji. I can take that. The fourth quarter -- in relation to the fourth quarter, the shift wasn't material because fourth quarter wasn't material enough in the grand scheme of things, just given that the fourth quarter is just a bigger size business compared to the Q1. So when you look at it in comparison to the impact it had to Q1 '25, it obviously has a significant more meaning with the timing of the shift.
Michael Kupinski: Okay. And going back to the tariffs. Has the tariff issue changed any of your plans for product introductions or even current products that you may now decide to discontinue? Just trying to get a sense of do you anticipate that there will be fewer SKUs in this year? Or do you still plan your -- moving forward with your current plans?
Brendan Hoffman: Well, it's definitely a work in progress. The team is on the ground in Asia now, working closely with our partners, our suppliers to move production where we can, where we think it doesn't sacrifice quality into other parts of Asia to try to avoid the China tariffs. There'll definitely be a little bit of SKU reduction. There are just some things that won't make sense to bring in at these levels for fall. As we move to pre-spring which is our holiday, we feel more confident that we can change around the sourcing and protect the key items but it's definitely a work in progress and obviously will change depending on where the tariffs ultimately land.
Michael Kupinski: And my last question. One of your strategies was to decrease cost, was to shift from like air freight to ship freight. And I was just wondering in terms of the tariffs and possibly maybe even supply issues, I guess, if you're looking at it that way, may change, has that strategy changed in any way?
Brendan Hoffman: I'm sorry, specific to whether we air or boat. Is that what the question was?
Michael Kupinski: Yes. Correct. Yes, that's right.
Brendan Hoffman: Yes. I mean, right now, we're starting to put stuff back on the water through boat to meet our ship windows but also give ourselves a little bit more flexibility to see where the tariffs land over the next 3 or 4 weeks. We do have bonded warehouse here in the U.S. that gives us a little bit more flexibility if we don't like where things are. But to your point, we've also talked about maybe it will make sense to air some stuff just to have a little bit more precision in terms of where the -- when the goods land. I think it's important for us to be able to have goods land and be able to turn them right around so that we can convert it rather than sit in our warehouse for a few weeks. So I would say that mostly, it's going to be both but we'll continue to assess that as the situation continues to evolve.
Operator: I'm not showing any further questions on my side. So with that, I'll hand the call back to Brendan Hoffman for some closing comments.
Brendan Hoffman: Okay. Well, we thank everyone for joining us today and we look forward to updating you on our Q1 final results [ph] in June. Thanks very much.
Operator: This concludes today's call. Thank you very much for your attendance. You may now disconnect your lines.